Operator: Greetings, and welcome to the Zevia PBC First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jean Fontana, Senior Managing Director with ADDO Investor Relations. Thank you. You may begin.
Jean Fontana: Thank you, and welcome to Zevia's first quarter 2025 earnings conference call. On today's call are Amy Taylor, President and Chief Executive Officer; and Girish Satya, Chief Financial Officer and Principal Accounting Officer. By now, everyone should have access to the company's first quarter 2025 earnings press release and investor presentation made available this afternoon. This information is available on the Investor Relations section of Zevia's website at investors.zevia.com. Before we begin, please note that all financial information presented on today's call is unaudited. Certain comments made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs concerning future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. During the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings as well as the earnings press release, presentation slides that accompany today's comments and reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are all available on our website at investors.zevia.com. And now, I'd like to turn the call over to Amy Taylor.
Amy Taylor: Thank you, Jean. Good afternoon, everyone, and thank you for joining us for our first quarter 2025 earnings conference call. I'm incredibly proud of the strong execution demonstrated by our team in the first quarter. We delivered net sales at the high end of our guidance range and meaningfully exceeded our adjusted EBITDA expectations. Our productivity initiative continues to deliver cost savings that fuel investment into building our brand while moving us closer to profitability. We are gaining traction despite the uncertain macro environment and highly competitive category. So briefly highlighting our financial results. First quarter net sales were $38 million. Gross margin hit a record of over 50% and adjusted EBITDA improved by $2.2 million to negative $3.3 million. We also made great progress in advancing our strategic growth pillars. First, we sharpened our brand identity and strengthened our marketing approach to drive engagement with lighthearted campaigns that highlight Zevia as a naturally sweetened affordable alternative to sugary soda. Second, we raised the bar on product innovation with a more sugar-like taste experience that we are rolling out in exciting new flavors as well as in some of our legacy sodas. And third, we expanded distribution through existing and new retail partners, building on-shelf visibility and inviting trial through new packaging options. Building brand awareness takes time, but we remain optimistic about our future for three reasons: First, the robust growth outlook for the better-for-you beverage category. Second, our unique market positioning with great tasting, clean-label, 0 sugar soda at an affordable price. And then third, the green shoots we are seeing in our business. Turning to our first growth pillar, marketing. We are focused on raising brand awareness with a sharper brand identity. We are bringing the Zevia brand to life through fun and engaging campaigns that we believe have broad relevance and cultural appeal. In March, we launched a new campaign featuring the highly popular crossover artist, Jelly Roll, who has been actively sharing his journey towards living a healthier lifestyle. The advertising campaign entitled "Get The Fake Outta Here" was another lighthearted parody of artificiality, building on our holiday campaign, but this time, cooking a little fun at celebrity endorsement. The campaign extended its reach way beyond paid media with social and editorial impact proving that the creative was compelling to a broad audience. The campaign was also covered by People Magazine and several other broad-reaching mainstream digital media channels. The ad is currently running on broadcast and streaming channels, including spots on American Idol for a 12-week period and is activated across TikTok, Instagram and other social channels. And finally, we activated on the ground with the Zevia Pit Stop, reminiscent of the ads gas station setting at events like South by Southwest in March and at various 5K and other events with Jelly Roll over the last few months. The campaign delivered a record of 2.4 billion earned impressions and the most shared and most engaging content in Zevia's history. We will build on this momentum and look forward to sharing more details on our summer campaign as we continue to pulse new creative, inviting consumers to take a break from artificial. With respect to our second strategic growth pillar, product innovation, we are raising the taste profile of our zero sugar sodas. Creamy Root Beer and our unique limited edition offering Salted Caramel, have garnered strong responses and consistently outperforming taste tests. In conjunction with these successes, we are expanding this more sugar-like taste experience into new flavors as well as into some of our legacy sodas. In time for the important summer season, we are very encouraged by the better-than-planned initial sales performance of our newest flavor, Strawberry Lemon Burst, which in testing received the highest purchase intent score in Zevia's history. This highly anticipated launch will be at the center of our summer campaign. And then exclusive to Sprouts, Orange Creamsicle is also available now. And there's more to come as a part of Zevia's rapid innovation effort to support expanding user base. And then finally, we plan to build on the success we saw at Walmart with variety packs. We are now rolling out a 12-count variety pack across approximately 80% of our grocery and natural channel stores through Q2 during spring recess. So turning now to our final strategic growth pillar, distribution. We remain optimistic about our strong performance at Walmart since the launch of the modern soda set across all U.S. stores. We believe that Walmart's better-for-you soda initiative will help to raise awareness and increase the consumer base, both for the category and for the Zevia brand. Our new variety pack, supportive of driving trial has been and continues to be the top-selling Zevia SKU since its launch. We'll be introducing an additional variety pack and new flavors at Walmart in the coming months as innovation remains key in this fast-growing competitive category. In the food channel, Albertsons has launched its own better-for-you soda set with next gen bev. We believe the Zevia strong brand block at eye-level in a vertical shelf position sets us up well to capitalize on this expansion. Very early reads, including the same-store sales lift and trial of new products are very encouraging. And then in the drug channel, Zevia gained new distribution across nearly 8,000 Walgreens stores. The assortment features six flavors and one variety pack and will additionally be on an end cap featuring summer beverages starting at the end of May. In convenience, we're executing new distribution across a number of regional players and two national banners on a regional basis. Each of these represents an opportunity to test and learn with our sleek single-serve soda offering and with variable merchandising approaches. This small footprint with top operators and regional chains can help inform a broader rollout, both for the brand and the category and convenience. And then, lastly, on distribution, our DSD or direct store delivery strategy continues to unlock improved in-store presence and new channel distribution with a focus for now on the West Coast. We're encouraged to see that our test market in the Northwest continues to outperform rest of market. And in April, we launched Crescent Crown in Arizona with neighboring states to follow in parallel with new singles distribution commitments at retail. So in closing, we remain bullish on Zevia's competitive position with an enjoyable, healthier and more affordable offerings in a moment when consumers are more focused on health and clean label products than ever. We're encouraged by the early proof points we're seeing across our strategic growth pillars as we continue to work to strengthen our foundation for future growth. And so with that, I'll turn the call over to Girish.
Girish Satya: Thank you, Amy. Good afternoon, everyone, and thanks for joining our call today. Our first quarter performance reflects great progress against our long-term strategic plan. We continue to advance our productivity initiative, which not only drove record gross margin but yielded operational cost savings that enabled us to increase investments into brand building initiatives. Turning to our first quarter results. We delivered net sales of $38 million, a decrease of 2% as compared to the first quarter of last year. The decline was primarily due to increased promotional activity. This was partially offset by pricing and improved volumes driven by expanded distribution at Walmart, offsetting the previously disclosed distribution losses in club and one major mass retailer last year. Gross margin reached a record high of 50.1%, an increase of 440 basis points from 45.7% in the first quarter of last year. This improvement reflects lower product costs and improved inventory management, partially offset by higher promotional activity. Selling and marketing expenses were $15.3 million or 40.3% of net sales in the first quarter of 2025, compared to $15.1 million or 38.8% of net sales in the first quarter of 2024. Selling expense was $9.1 million or 24.1% of net sales compared to $12.3 million or 31.8% of net sales in the first quarter of 2024, a decrease of 25.8%. In addition to cost efficiencies, we achieved record customer fulfillment rates during the quarter. Marketing expense was $6.2 million or 16.2% compared to $2.7 million or 7% of net sales in the first quarter of 2024. The increase was primarily due to higher marketing investments fueled by cost savings initiatives in freight and warehousing. General and administrative expenses were $7 million or 18.4% of net sales in the first quarter of 2025, compared to $8.1 million or 20.9% of net sales in the first quarter of 2024. Largely due to cost savings measures, including employee reductions to right size the business and focus on growth driving initiatives. Restructuring expenses were $2.1 million in the first quarter, which primarily includes employee-related severance costs and largely completes our planned restructuring initiatives. As a result of the aforementioned factors, net loss was $6.4 million, compared to a net loss of $7.2 million last year, an improvement of $0.8 million. Adjusted EBITDA loss of $3.3 million compared to an adjusted EBITDA loss of $5.5 million in the prior year period. The $2.2 million improvement came despite the decrease in net sales as we continue to deliver on our productivity initiative and reinvest in the business. Turning to our balance sheet. We ended the quarter with approximately $28 million in cash and cash equivalents and have an undrawn revolving credit line of $20 million. Now turning to our outlook. The success of our productivity initiative, which led to an annualized cost savings of $15 million, not only sets us on a strong path to profitability, but enabled us to make key investments to accelerate future growth. We continue to find opportunities to streamline our operations and drive efficiencies in order to offset impending tariff costs. We are focused on what we can control in a challenging macro environment in the highly competitive category, and it's working. Based on our first quarter results and current trends in the business, we are maintaining our full year net sales guidance in the range of $158 million to $163 million. We are also maintaining our adjusted EBITDA loss range of $8 million to $11 million despite the impact of higher tariffs, which we are working to offset with additional cost savings throughout the year. Turning to the second quarter. We expect net sales of between $40.5 million to $42.5 million. We would note that Q2 and Q3 are historically the highest volume quarters of the year due to seasonality. We expect Q2 adjusted EBITDA loss to be between $2.2 million and $2.9 million, reflective of increased marketing investments and higher promotions in addition to the higher tariff-related costs I previously mentioned. In closing, we plan to continue to reinvest savings from our productivity initiative into driving future growth while managing our business prudently in an uncertain environment. We remain confident that the work we are doing now will further strengthen our market position to capitalize on the robust growth in the better-for-you soda category and deliver sustainable, healthy, profitable long-term growth. I will now turn it over to the operator to begin Q&A. Operator?
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Bonnie Herzog with Goldman Sachs. Please proceed with your questions.
Bonnie Herzog: Thank you. Hi, everyone. I guess, my first question is on your guidance. You maintained your full year guide and then provided a Q2 guide, which I guess implies your top-line growth will accelerate to about 7% at the midpoint in 2H versus, I guess, about flat in 1H as well as EBITDA acceleration or, I guess, lower declines in the second half. So just hoping to hear a little bit more about the drivers behind this and maybe the visibility you have on this?
Amy Taylor: Sure. Thanks, Bonnie. We feel really good about the progress that we've made. And hopefully, you see that as we reiterate the guide. There's strong execution across the Board. Our productivity initiative, in particular, has really enabled important investments with the priority being driving brand awareness with a long runway for growth given the sustainability of the health and wellness trend coming from a macro perspective and then also related growth outlook for the better-for-you beverage category. And we found our voice and brand marketing; hopefully, you can really see that and what we're putting out in our distinctive campaign. Our product innovation pipeline is stronger than ever and innovation really hitting the shelves now, so impact Q2 and following. And then as you're aware, we have national distribution in Walmart and expansion within Albertsons in that footprint and others that all demonstrate momentum. I think, Walgreens is another example. And then our DSD strategy is showing some early promise of impact, including launching now finally some regional convenience activity. So while the macro backdrop keeps us, let's say, prudent given low visibility on consumer sentiment overall and we know the tariffs are a headwind, we look at each of the initiatives that we are driving and the discipline with which we are executing them. And we know that while marketing will take time for an impact net-net, each of these strategic growth pillars will bear fruit in the balance of the year.
Bonnie Herzog: Okay. Thank you. That's helpful. And then maybe a second question for me, if I may. Just like you mentioned, Amy, you've had some success at Walmart. So just hoping to get a little bit more color on your business there. I guess, my understanding is you're past the initial channel fill. And so how are things at the accounts performing maybe relative to your internal expectations? And then, ultimately, what are your expectations for the brand in Walmart? And maybe if you could help contextualize the space you currently have at the retailers? And then how much more runway might there be? Thank you.
Amy Taylor: Sure. Understood. Yes. Thanks, Bonnie. So we're really pleased with our performance at Walmart, and it's a great partnership, and I say that in a couple of different ways. First of all, yes, we had to answer one of your subset questions there. The initial pipeline fill in the fourth quarter of last year. So we're past the initial pipeline fill. So we have the first several months of the year to look at performance, which is just the consumer response to the category modern soda and Zevia's presence within it. And we're getting a combination of new consumers' trialing the product as well as Zevia fans picking up their favorite flavors. I think notably, our variety pack is the number one seller among Zevia SKU. So a good just directional indicator that yet indeed this new distribution is driving trial. Our early sell-through performance has been encouraging and it is very early. But I think there's also evidence that the partnership is quite strategic and collaborative. And what I mean by that is as I mentioned, I think, briefly in prepared remarks, we are bringing another variety pack to the shelf at Walmart. We are bringing a new flavor that will launch first at Walmart, and we're able to do that mid-stride in the year. So I think that demonstrates Walmart's agility despite their size and their commitment to modern soda and kind of moving with the category as the category moves. So we're excited to be a part of what is really a limited number of brands featured in that set. We have a strong kind of anchoring position within the set. And while the set will be agile given the competitive and fast-growing nature of the category on the whole, we're really pleased with our position within it and our opportunity to continue to innovate with Walmart, move fast with Walmart and react to the learnings that we garner based on consumer pull-through.
Operator: Our next question comes from Jim Salera with Stephens. Please proceed with your question.
Jim Salera: Hey Amy and Girish, good afternoon and thank you for taking our question. Girish, I actually wanted to start off on the gross margin. Is 50% plus gross margins sustainable on a go-forward basis? And if you could maybe help us bridge the puts and takes between tariff headwinds. Maybe if you can quantify how much of that is exposed in your COGS, what the potential risks there are and then how we kind of offset that on the productivity side?
Girish Satya: Yes, absolutely. Thanks for the question, Jim. We do believe and I do believe that gross margins in the upper 40s are sustainable. I would note that the gross margin at 50% is also inclusive of what I believe to be a right-sized promotion spend as well for both the company and the category. As we think about sort of the rest of the year outlook, tariffs will be about a 200 basis point headwind that we will seek to overcome vis-à-vis product portfolio adaptations vis-à-vis continued work around price pack architecture and continued changes in sourcing strategy. So we do have the levers to offset that. In the very, very short run, we will see some of that impact hit in Q2 more and be more impactful in Q3, but by then, meaning by Q3, Q4 will begin to offset some of it. So net-net, gross margins in the upper 40s are sustainable, inclusive of this 200 bps headwind that we are about to -- that we're beginning to see the impact of.
Jim Salera: Okay. That's helpful. And then, Amy, I wanted to ask a little bit on the convenience side. If I interpreted your prepared remarks correctly, it's just going to be the single cans, the tin cans inconvenience. It is that expansion kind of governed by where you have the DSD relationships, and that's where we should expect to see the single cans distributed with regional players in those areas. And I guess the national brands that operate within those regions as well. Is that the right way to think about that?
Amy Taylor: Yes, Jim. Frankly, you nailed it on all points. So it's a 12-ounce sleek soda can that we'll be featuring in convenience. And the combination of both regional players as well as national banners on a regional basis gives us the ability to test and learn with pricing and merchandising strategies and combinations of featuring in the cold box featuring cold next to the register and a few other options, but all with those singles. And yet, you're also correct that we are executing that inside of our DSD footprint, which as of right now is in the Northwest and the Southwest. So convenience and DSD moving together, which makes sense. It gives us a lot of opportunity to learn not only about our brands performance and opportunity in convenience and readiness for convenience, but also the category, which is still very, very nascent within sort of the impulse environment.
Jim Salera: If I could just sneak one quick follow-up on that. Are you guys going to have branded coolers in convenience and across the DSD network?
Amy Taylor: We do have the option to activate branded coolers and where those investments make sense, so where volumes and space requirements would enable that type of replacement, we would certainly do that. And as you probably remember from the past, we've had strong brand performance from branded coolers inside of a natural channel, with sort of an impulse opportunity, be it near the register or near deli. Natural channel often behaves a little bit like a deli or like a convenience store in some ways. So yes, we have that option. But I would say that would be a bit of a Phase 2 volume and space-based opportunity.
Operator: Our next question comes from Eric Serotta with Morgan Stanley. Please proceed with your question.
Eric Serotta: Great. So first housekeeping question. Should we think of -- I guess, what composes the bulk of the tariff exposure? Is it primarily aluminum? Or are there other items in there that we should think about? And then bigger picture, I know its early days of both some of your initiatives and the Walmart modern soda set. But what are you seeing in terms of household penetration changes since the customer shelf set changes and since some of your initiatives on the product channel to market standpoint? And then sort of how does that inform your longer-term thinking in terms of TAM or household penetration for the category and brand.
Girish Satya: Thanks, Eric. So I'll address your first question and then hand it over to Amy for the second part of your question. So in terms of the exposure to tariffs, it is primarily aluminum. There are some secondary impacts on some of our sources of Stevia as well as some of the cross-borders/transportation costs between Canada and U.S. or Canada, Canadian rather and U.S. production facilities. And so -- but the real bulk of it is aluminum.
Amy Taylor: Yes. And then happy to talk just a little bit about, let's say, maybe sizing the opportunity and progress against that starting with your first literal question, I suppose, on Walmart and household penetration. So the Walmart distribution has been additive to our household penetration. In other words, Walmart is helping us to grow the consumer base. That is in part just by the sheer number of stores, right? We've gone from 800 Walmart stores selling to 4,300, in other words, national distribution. And particularly in some geographies where we have slightly lower penetration and really fast growth rate like the Southeast, we're seeing support to reach new households through that new distribution. I think bigger picture, the healthier living and specifically sugar avoidance is not a trend, but it's really here to stay and the better-for-you beverage category remains highly attractive. I'll just share that better-for-you beverage comprises 25% of all CSD growth. So there's a big opportunity ahead for us. We are only in single-digit household penetration at this stage. There's a lot of upside with this brand. Now we're in 40,000 outlets selling. So the game of growing distribution is a long-term one, and there is upside there in the mass channel, in the club channel, in the value channel, of course, with convenience, which is a more strategic and long-term endeavor and then similarly in food service. So yes, our household penetration is now growing with especially tailwinds from Walmart. Yes, there's a lot of upside given it's in single digits at the moment, and we have opportunity to grow it further, not only by penetrating existing customers further within the shelf set and with in-store penetration to drive trial, but also with the growth over time into new channels.
Operator: Our next question comes from Andrew Strelzik with BMO. Please proceed with your question.
Andrew Strelzik: Hi, great. Good afternoon. Thanks for taking the questions. I wanted to start by asking about the marketing. And in particular, you mentioned the impressions, which are great to see and the fact that you won't see the benefits in the P&L for some time. So I guess in the interim, how are you gauging the effectiveness of the marketing? Is it brand awareness or other metrics that you're looking at? And have you seen any changes over the last couple of months as you started to step on the gas there.
Amy Taylor: Yes. Thanks, Andrew. Obviously, a topic around which I'm very passionate. So brand building remains a top priority. And marketing as a driver of awareness and trial, therefore, remains a top priority. And you're right; it takes time for that to show up in the business. So long-term, we measure success through growth of the user base, right? In other words, that helpful penetration growth. And in the meantime, we measure consumer sentiment around the brand through surveys to seek out leading indicators and kind of pressure test collective marketing effectiveness. So you think about something like a brand health tracker in the market on a regular basis to give us some guidepost on how the consumer is receiving our broader brand-building messages. So that's the long-term. That's brand building. More near in, we can measure the impact of velocity driving investments through what I'll call a closed-loop attribution model and think about that on a retailer-by-retailer basis. So here, we can flex investments across channels and across retail platforms and we can lean in and learn as store conditions change as our priorities evolve. So in the current environment, we may flex where we spend, based on our learning, based on the macro here and there, but awareness and trial remain a priority, and we'll continue to invest in brand, in balance with investing in the velocity drivers. So we think about this very much for the long-term, but we're also leaning in and driving it for the short-term with velocity support at retail and in e-commerce.
Andrew Strelzik: Okay. Great. That's super helpful. And my other question, I know you're only providing the 2Q and the annual guidance, but kind of as I think about back half of the year, last year was a little bit abnormal. You talked about which are typically your bigger quarters. Is there anything else to keep in mind as we kind of think about the phasing of the growth through the back half of the year? Is it fair to think 3Q is going to be a bit more elevated. We'd take a step back in 4Q or just anything else to keep in mind about the back half. Thanks.
Girish Satya: Yes. I think directionally -- thanks, Andrew. I think directionally, you're correct. I mean from a revenue standpoint, Q2 and Q3 remain the peak quarters for the year. Sorry, there is some background noise here. And Q4, we'll be lapping the pipeline fill for Walmart. And then just from an EBITDA perspective, Q1, as you've seen in Q3 will be the elevated marketing spend for the year. And so from a modeling standpoint, you can factor that in as you think about the quarterly cadence.
Operator: Our next question comes from Sarang Vora with Telsey Advisory Group. Please proceed with your question.
Sarang Vora: Great. Thank you so much. Question is on the distribution. So you did gain a lot of distribution, Albertsons, Walgreens. Can you share how this rolls out over the year for example, Walgreens, you have 8,000 stores. Will it be like in second quarter, third quarter? Or is it like a whole annual rollout? And then, just staying on the topic of distribution, are we done with lapping the club and the mass -- the loss of a mass customer you had in retail at this point?
Girish Satya: Yes. Thanks, Sarang. So two points on the Walgreens specifically and the expansion of Albertson. Walgreens will primarily be an impact in the second and third quarter of this year. The expansion of Albertsons is obviously rolling out or not obviously, but is rolling out now and will be factored into our 2Q guidance. As you think about the -- what -- sorry, what was that?
Amy Taylor: Yes. So timing -- you're asking on back half timing, Sarang.
Girish Satya: And then it's the lapping of the club and mass retailers. So that was primarily in Q1 to a lesser degree, you'll still have that in Q2. But Q3 forward, it will be fairly behind us, yes.
Sarang Vora: That's great. I just had a quick question on the pricing strategy. Tariffs have come in. You talked about it. And then on the flip side, productivity is improving, but then you're also stepping up some marketing over here. So can you share your broader thought on pricing? Like do you think you need to take pricing in the back half of the year given these changes? Or you feel more comfortable where you are right now?
Amy Taylor: I think -- let me -- let Girish speak to that sort of broader pricing. He definitely owns that. But we see two things happening at the same time, tariffs increasing costs and then headwinds from a consumer perspective. And so we believe that there is room for price and we have work to do on our pack price architecture immediately and over time. But we haven't communicated anything specifically on price. Is there anything you'd clarify?
Girish Satya: No, I think that's -- that's great, Amy. I mean, again, I would just reiterate, I think, we continue to find opportunities to drive productivity and drive efficiencies in the supply chain. That being said, we also see ample opportunity in the short to medium-term to really improve our price pack architecture. So we'll be toggling between the two for -- over the next several quarters as we try to dial that in.
Operator: Our next question comes from Eric Des Lauriers with Craig-Hallum. Please proceed with your question.
Eric Des Lauriers: Great. Thank you for taking my questions. Just one high-level question from me. So in light of the macro uncertainty, are you seeing any recent changes from a consumer behavior standpoint in the better-for-you beverage category as a whole? And then at the everyday price point where you operate? I guess, I'm wondering if you see consumers' kind of trading out of the category or trading down to your everyday price point. I mean maybe growth is kind of too strong in this newer category to notice these subtleties. But just kind of broadly, wondering if you see a market share opportunity as consumers get more price conscious. Thanks.
Amy Taylor: Eric, I think the points that you're making kind of through your question are exactly right. So first of all, to literally answer your question, it's too early to say. We're not seeing movement right now. If we read what we believe is coming in the macroeconomic environment, we're not yet seeing that in consumer behavior. But what's our opportunity? Our opportunity is that we are the affordable option among great tasting, better-for-you products in the set. And that's something that we found has been an advantage to us over time and maybe even more now in this new era where we sit next to higher price and often functional options. So while it's too early to say, we do think we are well-positioned to be resilient and maybe from a market share perspective, advantaged when we continue to be worth of the dollar from a value perspective because there's no compromise on taste. We're a great tasting and clean label option, and then we're significantly more competitively priced. It's a soda -- priced like a soda versus a new kind of price point from a functional beverage standpoint. So I think your observations are probably directionally astute, although it's not yet showing up in consumer purchase behavior.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Amy Taylor for closing comments.
Amy Taylor: Yes. Thanks for your attention today, everyone. We are really pleased with the strong execution by our team delivered in Q1 and the continued commitment that I'm seeing from them to execute against our key strategic growth pillars. And again, those are distinctive and engaging marketing, strong flavor and pack innovation, and then our efforts against distribution. So there's strong tailwinds in our category, there's exciting green shoots in our business. And we have a clear position for our brand, given our taste, clean label, zero sugar and affordable positioning. So despite the conversation around a muted macro, we're confident in and focused on a bright future for Zevia. Thanks for joining us today.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.